Operator: Hello, and welcome to McDonald's Second Quarter 2023 Investor Conference Call. At the request of McDonald's Corporation, this conference is being recorded. Following today's presentation, there will be a question-and-answer session for investors [Operator Instructions].  I would now like to turn the conference over to Mr. Mike Cieplak, Investor Relations Officer for McDonald's Corporation. Mr. Cieplak, you may begin.
Mike Cieplak: Good morning, everyone, and thank you for joining us. With me on the call today are President and Chief Executive Officer, Chris Kempczinski; and Chief Financial Officer, Ian Borden. As a reminder, the forward-looking statements in our earnings release and 8-K filing also apply to our comments on the call today. Both of those documents are available on our Website as are reconciliations of any non-GAAP financial measures mentioned on today's call along with their corresponding GAAP measures. Following prepared remarks this morning, we will take your questions. Please limit yourself to one question and then reenter the queue for any additional questions. Today's conference call is being webcast and is also being recorded for replay via our Web site. And now I'll turn it over to Chris.
Chris Kempczinski: Thanks, Mike, and good morning. Last quarter, I talked about consistency, consistency in our numbers, consistency in the drivers of our business and consistency in the excitement across the system about the opportunities ahead. This quarter, the theme is -- well, if I'm being honest, the theme was Grimace. I mean, Grimace has been everywhere the past few months, all over the news and more than 3 billion views on TikTok. Not bad for a 52nd birthday. This viral phenomenon is yet another proof point of the power of marketing at McDonald's today. Aside from Grimace, what really stood out about this past quarter was our continued consistency. In Q2, we delivered yet another quarter of strong performance, achieving global comparable sales of 11.7% with double digit comparable sales across each of our segments. We're operating from a position of strength and continuing to gain share in most of our major markets despite headwinds and a challenging macro environment. The reason for this continued consistency is simple, our Accelerating the Arches playbook is working to help create a better customer experience. Renewed focus on the fundamentals, in part fueled by the reintroduction of the PACE program, has led to operational improvements and continued increases in customer satisfaction across most of our major markets. To further strengthen our foundation of running great restaurants, we recently created a Chief Restaurant Officer role in markets to keep our market teams focused on driving our strategic plan, execution and performance. Market CROs will also help ensure that innovative ideas generated in local restaurants can be leveraged in markets across the globe. Our success is fueling even greater ambitions. We're continuing to double down on our existing growth pillars while evolving our strategy through accelerating the organization to stay front footed with an eye towards the future. As we've previously shared, accelerating the organization is an initiative to reimagine how we work to bring the full breadth of McDonald's skills and experiences together to come up with the best solutions that can be scaled. We're bringing this to life through One McDonald's Way, horizontal ways of working and digitizing the organization. While we're just beginning to change our ways of working, we're already seeing early benefits. I've often said that the next great solution will come from our markets and in our restaurants. As I recently visited markets like China, Italy and Germany, I continue to be inspired by the entrepreneurial spirit of our system and how market teams are embracing these principles even more consistently. Visiting China truly brought to life the power of a highly digitized economy and our potential for global growth moving forward. With about 90% of our business currently coming through digital channels in that market, it was remarkable to see how the market has forged digital relationships with customers. China is also making tremendous progress in running the restaurants more efficiently, all with the use of data and technology. This will provide great learnings for the rest of our system. Our Canadian team is implementing a rigorous initiative review process to relentlessly prioritize work to actively stop projects that are less important and focus on solving the most meaningful problems for our customers. Using a new framework, the team has already cut their number of key business projects in half. We intend to learn from and scale this process to other markets as well. Additionally, our UK and Ireland team recently traveled to Germany to learn best practices from the market's best burger rollout. This is a prime example of the agile scaling of solutions and horizontal ways of working. And finally, last November, we launched our largest globally unified marketing campaign ever, Wanna Go to McDonald's, to celebrate the FIFA Men's World Cup. We're thrilled to extend this award winning brand platform with the FIFA Women's World Cup and write a new chapter in the story to meet this iconic cultural moment. This campaign will be brought to life in 28 markets through fully integrated social, digital streaming and content strategies that tap into local fan excitement. These are just a few examples of how a One McDonald's Way approach to common challenges will drive greater connectivity and efficiency worldwide. Key to enabling the company's scale solutions with speed and agility is the work of our new Global Business Services business unit, or GBS. GBS will unlock further efficiencies and capabilities of our people and resources. We will do this by developing digital tools for the organization, making data and insights more accessible across the system and growing our future talent pipeline. We'll continue to keep you updated on how our ongoing investment in this area will benefit the enterprise in the years to come. In addition to our accelerating the organization efforts, we're also focused on evolving our approach to capturing incremental customer visits. Central to that is restaurant development, also known as our fourth D. Our strong performance and strength of our brand has earned us the right to begin accelerating the pace of restaurant openings in our major markets over the next several years. While our primary focus is on opening traditional units, we are always testing and learning new ways to meet the needs of our customers. One example is the takeaway only restaurant in Fort Worth, Texas that opened in 2022. The restaurant site is considerably smaller than a traditional restaurant and as the way customers order and receive their food has changed dramatically over the past few years is geared toward customers based on their need state wherever they are. Another recent example of innovation I was able to see firsthand during my visit to China is the use of food lockers at busy locations with high in-store traffic. Upon arrival, delivery couriers can quickly unlock the designated locker and grab the customer's order without even entering the restaurant, removing friction for both the kitchen and the courier. And our new business ventures team is in the process of developing a new concept we will call [CosMc's], which we will test in a small handful of sites in a limited geography beginning early next year. [CosMc's] is a small format concept with all the DNA of McDonald's but its own unique personality. We look forward to providing you with more information about our development plans and new format innovations at our Investor Day at the end of the year. Finally, before I hand it to Ian, I want to recognize our teams and business partners in France who have handled the unrest in the market with remarkable strength and grace. It has been extremely disruptive to the business on top of an already challenging operating environment. Thanks to everyone connected to McDonald's brands for your dedication and commitment to the business as well as your efforts to keep everyone safe during this volatile time. I'll now turn it over to Ian.
Ian Borden: Thanks, Chris, and good morning, everyone. As Chris mentioned, the second quarter was yet another demonstration of consistently strong performance, guided by our Accelerating the Arches strategy and fueled by our outstanding execution. We're delivering delicious feel good moments to our customers in new and exciting ways by doubling down on our creative excellence and highlighting our core menu, all with the value and convenience our customers expect. Our performance speaks for itself and is a testament to the passion and dedication of our entire McDonald's system. With global comparable sales of 11.7% and consistent performance across our segments, it's clear that the McDonald's brand has never been stronger. In fact, the brand was at the center this quarter as we engage with customers in authentic and culturally relevant ways with campaigns rooted in consumer insights. As Chris touched on a few minutes ago, we took the nostalgic experience of celebrating birthdays at McDonald's and repackaged it for a new generation with none other than Grimace at the center. It quickly became one of our most socially engaging campaigns of all time with millions of reactions on our social media posts, a true demonstration of how the power of our brand emerges in organic and creative ways in our fans. It contributed to the strong double digit comparable sales growth for the quarter in the US. The passion for the brand was also evident in Italy with the launch of a truly unique creative platform. It celebrated the most loved and best selling beef burger in the market by asking customers, what would you do for a crispy McBacon? The answer came in the form of customers getting tattoos of their favorite McDonald's sandwich, driving brand affinity and elevating share gains. I've certainly seen a lot in my 30 years at McDonald's but this was a new one for me. Truly remarkable. As I’ve mentioned before, our chicken equities remain at the core of our growth strategy. The UK celebrated the 40th anniversary of another fan favorite, the Chicken McNuggets, by offering limited time sauces to reconnect with the Gen Z consumer. This was coupled with compelling media that showcased the fan truth that sharing your nuggets isn't guaranteed, even if your best friends. China also highlighted the Chicken McNuggets anniversary in a creative way with an integrated marketing campaign. Featuring our 20-piece nuggets, it quickly went viral on social media and generated significant positive buzz among consumers. Spicy McNuggets, one of our most popular line extensions, were offered across various markets this quarter, including Australia and Germany. It is yet another example of how we modernize our core menu, adapt it to meet changing customer taste profiles and scale these new ideas across the globe. Both markets achieved significant lifts to the McNuggets line as a result and Spicy McNugget sales reached an all time high in Australia. Our ambition on chicken includes further scaling emerging equities across markets. The McCrispy Chicken Sandwich, for example, has now scaled to over 10 of our largest markets, including Spain just this past quarter. The sandwich is already resonating with our customers, bringing attention to our chicken portfolio and driving significant chicken share gains. A recent addition to our portfolio of billion dollar brands, the McCrispy continues to be an important catalyst of chicken growth for many of our markets. The UK, for example, has achieved market share leadership in chicken, a remarkable growth over the past few years with the launch of both the McCrispy and the McSpicy Chicken sandwiches. We look forward to further scaling these new global favorites to customers around the world. A challenging macro environment including rising interest rates and elevated costs continues to create volatile consumer confidence levels and put pressure on consumer spending. Providing customers with an affordable option has always been core to McDonald's. But in these challenging times, it is even more important for us to remain agile, proactively meeting the needs of our customers. Germany continued the success of its McSmart menu. Initially introduced last quarter to provide entry level affordable meals, it's contributed to our best sales quarter ever in the market and lifted value perceptions with consumers. The UK unveiled a similar offering with its new Saver Meal deals in June, and the early results are encouraging. A permanent addition to the menu, it aims to provide consistent everyday affordability and ensure customers can still enjoy their favorite treats like the Double Cheeseburger despite the rising cost environment. Maintaining our leadership position in value is crucial to future success, and McDonald's holds the number one position in good value for money and affordability across most of our major markets. This shows that even in the most challenging of environments, our customers know that they can rely on McDonald's to provide an affordable destination for the food that they love. But we know that customers' perceptions on value are made up of more than just the price of our food. It's also about the experience that we provide. We've continued to enhance the customer experience, providing the seamless and memorable interactions our customers have come to expect. Last quarter, we introduced an enhanced ordering process through our app in the US with the goal of delivering a faster and more enjoyable experience for the customer. While we're still learning from this deployment, early results have been extremely positive with elevated sales initiated through the app, increased customer satisfaction and improved service times. Canada also introduced new experiences in the app with the launch of the Frequent Fryer program. Tapping into Canadians’ passion for travel, the digital campaign celebrated McDonald's fries and the opportunity to taste them in other countries. This creative approach to reengage with our loyalty members resulted in lifts to both digital acquisition and digital customer frequency during the campaign. Now in over 50 markets across the globe, we're continuing to build stronger relationships with our loyalty customers and fueling growth of our digital sales in the process. In our top six markets, digital sales represent nearly 40% of system wide sales and our loyalty members remain highly engaged with over 52 million 90 day active members across our top six markets. As our relationships with these customers continue to grow, we will unlock additional customer needs and explore investments for continued digital innovation at a scale that only McDonald's can achieve. Strong execution across all elements of Accelerating the Arches is creating additional customer demand and share gains across most of our major markets. But we recognize that we're operating in a challenging macro environment where costs remain elevated, customer discretionary spending is limited and industry traffic is pressured. In line with industry trends and as inflation begins to normalize later in the year, we expect top line growth to moderate. Turning to the P&L. Our strong top line performance across each of our segments drove adjusted earnings per share of $3.17 for the quarter, an increase over the prior year of 25% in constant currencies, excluding other charges and gains in both periods as well as a prior year tax settlement. Our company operated margin performance for the first half of 2023 is in line with our expectations and remains hampered by continued cost pressures. As we look to the remainder of the year, we expect macro headwinds will continue. Total restaurant margin dollars grew by nearly $450 million in constant currencies or nearly 14% for the quarter. Strong franchise sales performance continues to be offset by targeted and temporary franchisee assistance, provided mainly to our European franchisees where elevated costs continue to pressure restaurant cash flows. We're still anticipating that these efforts will have an impact of $100 million to $150 million for the year. G&A for the quarter decreased 6% in constant currency, primarily driven by prior year costs incurred for our worldwide convention last April and timing of anticipated current year spend. We are pleased with our strong adjusted operating margin of just over 47% for the first half of the year. This was driven by the continued strong top line growth that I mentioned and timing within our G&A spend. For the full year, we now expect adjusted operating margin to be about 46%, reflecting heavier G&A spend in the back half of the year, along with an expected property gain in other operating income in quarter four. And our adjusted effective tax rate was just over 18% for the quarter. And with that, let me turn it back over to Chris.
Chris Kempczinski: Thanks, Ian. As I've said before, McDonald's Corporation is in the business of selling a brand. Our investments through Accelerating the Arches to create cultural conversations and develop industry leading innovations have increased the value of our brand and kept us relevant. In June, McDonald's earned an impressive 18 lions across 10 markets at the Cannes Lions International Festival of Creativity. Additionally, our team in the UK and Ireland was awarded the prestigious Marketing Society's Grand Prix, which recognizes the best marketer in the country. The McDonald's brand also rose to the number five spot in the 2023 Kantar BrandZ Top 100 Most Valuable Global Brands report, behind only the leading tech industry brands. As we've upped our marketing game, it's also been interesting to see how our food quality scores with customers have continued to increase. The more customers love our brand, the more they love our food. Beyond the great brand stories created by our marketing teams and agency partners are the thousands of franchisees around the world who create real life brand stories every day in the restaurants with our customers. Our franchisees and crew bring the McDonald's brand to life with great hospitality, convenience and service. The best brand in the industry backed by the best franchisees has been our value creation formula for decades. We're always looking ahead to what is next and asking ourselves, how do we continue to create the world's greatest franchising opportunity for the world's greatest franchisees for generations to come. This requires making decisions for the long term to earn our success rather than expecting it or assuming it. Our Accelerating the Arches strategy is focused on just that, setting up the company and our franchisees to continue to prosper. Laying the foundation for the future also involve strongly defending the franchise system and independent ownership rights, a position echoed by the National Franchise Leadership Alliance, the elected representative voice of McDonald's franchise organizations across the US. I'm confident that the system is focused on the right priorities and is well positioned to meet the customer needs of tomorrow. Thank you to the over 2 million talented people working in our restaurants, our thousands of franchisees and our entire network of suppliers around the world who bring the McDonald's experience to life each day. I'll now turn it over to Mike for Q&A.
Operator: [Operator Instructions].
Mike Cieplak: Our first question is from Eric Gonzalez with KeyBanc.
Eric Gonzalez: My question is about your expectations for the US consumer. I think last quarter, there was some discussion about your base case that the US would expect a mild recession. And I think you called out that you're starting to see some evidence of trade down in your check management at that time. So I'm wondering, has there been any change in your current thinking and whether those consumer behaviors have intensified or moderated in the last quarter.
Chris Kempczinski: I'd say, overall, there hasn't been dramatic change in the US consumer. Sentiment is actually improving a little bit but we're certainly still far off of where we were back in 2019. As we look at our spend by different sort of economic cohorts, we are gaining share in the -- if you look at incomes under $100,000, we're actually doing quite well there, which suggests that we're getting some benefit from trade down, from things like full service dining, casual dine, et cetera. And then even if you go to incomes of $45,000 and less, our business is performing well there. What we're seeing with that group is we are seeing a little bit of a decrease in order size, but it's being offset by a very strong or continued strength in traffic. So I think net-net, when you look at all of it, there is certainly concern with the US consumer that shows up in their sentiment. But our business and particularly I think our value positioning in the market has put us into a good position to be able to weather that and continue to drive the share gains that you're seeing.
Ian Borden: I just might add a little bit to Chris' comments. I think we've talked -- if I just focus on the US over the last couple of quarters about kind of these two broad areas of probably consumer adjustment that we've seen. I would say the first one is we are seeing some consumers that are kind of trading down from those more premium or higher priced items in the menu to more core and value. And then I think as Chris said, we have consumers that continue to visit but probably are just buying a little less. So their basket sizes are a little bit smaller than what they've been previously. I think the context is those two factors, though, have been really, while they've been in play for a number of quarters now, have been very consistent. So we're not seeing any further kind of deterioration, I think that, which is encouraging. And as Chris touched on, I think, speaks to our leading value for money and affordable positioning in the US business, which we know is industry leading and where we've maintained a really strong gap to the competitive set. I mean, I think it is -- I think the consumer still remains under pressure, obviously, with the macro context, with all of the inflationary impacts that they're seeing on their kind of their basket of goods and obviously with rising interest rates, But we know we had obviously positive traffic growth in the quarter in the US business. We know that on a comp basis, we continue to outperform the broader sector. And I think as Chris touched on in his opening remarks, we continue to focus on the experience and we know based on the feedback that we're seeing from our customers that we're delivering an improved experience. I think that's a credit to the US business and all of our franchisees and the really strong focus they've got on executing and make sure we deliver for the customer when they do choose us.
Mike Cieplak: Our next question is from David Tarantino with Baird.
David Tarantino: Ian, I wanted to follow up on your comments about sales moderating as the year goes on, which is understandable given the starting point here. But specifically, I was hoping you could perhaps break down the guest count growth versus the check growth in the US, and if you have it in IOM as well for the second quarter. And then how do you expect the check growth component to moderate as kind of the inflation environment gets a little bit more moderate? So I guess if you could just frame that up for us that would be helpful.
Ian Borden: Well, look, what I'll do is, I think, kind of give you the broad brush factors that I think we consider when we talk to kind of our expectation of a moderation in our top line as we kind of work through the back half of the year. I think there are three things there that I'd call out. The first is just we certainly believe from a kind of COVID comparability that the substantive kind of tailwinds are fully behind us as we move into the back half of the year. So I think that's the first piece. The second piece is just as we've talked to in our opening remarks, I mean, we certainly are seeing inflation start to gradually come down. I think that's been the case in the US business probably starting the end of last year. It's obviously still elevated, but I think we are seeing that gradual kind of decline. And I think in the majority of our international markets, we started to see, I think, as we head into the back half of the year, the gradual decline begin there as well. And so I think as inflation begins to come down, I would certainly expect our pricing levels to also start to come down. So that's the second factor. And I think then the third factor would just be, as Chris touched on previously, I mean, I think there are a number of our top markets where we know the macroeconomic conditions are challenging. We know there continues to be a lot of pressure on consumers. We know consumer sentiment continues to be impacted. And so we do expect the broader sector to kind of begin to kind of decline in those markets as we go through the back half of the year. And so I think that's kind of the third broad kind of trend that we think about when we talk about moderation. So if I spoke specifically to the US, I think we're obviously looking at kind of a one year comparable but also kind of comparing back to 2019, I think that moderation is probably more pronounced in the back half of the second half than the front half. But I think if you step back and you think -- you look at the quarter two results, we had positive traffic across each of the three operating segments. We are laser focused on what we certainly feel is the most important metric, which is that we are continuing to gain market share in the majority of our top markets. We know we continue to outperform the competitive set and that's certainly what we're laser focused on. We feel really confident about how our Accelerating the Arches strategy continues to resonate across all the markets we do business with and the strength of our underlying momentum.
Mike Cieplak: Our next question is from Jeff Bernstein with Barclays.
Jeff Bernstein: Just looking at the guidance that you provided. I think you mentioned that operating margins, you're now expecting at 46% for this full year ex the restructuring charges seemingly raised from the 45% prior. Just wondering if you can maybe offer some color as to what you believe are the primary drivers of that? And just as importantly, how should we think about that operating margin looking out one, two, three years? Is that reasonable to assume that, that continues to grind higher or is there a certain level where you'd expect that would top out whether just naturally or whether based on reinvestment that you might want to make? I'm just wondering how you think about that operating margin, especially in the current environment.
Ian Borden: Well, let me start with that one. So let me start, I think, with 2023. And as you touched on, I think we started the year with an op margin guidance of about 45%. We've updated that now to say about 46%. We're really pleased with our performance in the first half of the year where we were about 47% from an op margin standpoint. And I think that connects to what we've talked about pretty consistently, which is we do believe that over time, as we continue to drive top line growth that we can continue to get leverage in our op margin line. I think we saw that in the first half. As we head into the second half, I think there are a couple of things that kind of are specific to the guidance for the full year. Firstly, I think it's the inflationary pressures and margin pressures, we certainly believe will continue. I just talked about kind of the moderation of the top line as we kind of work through the rest of the year. Also expect, as I touched on in my opening remarks that our G&A spend for the year will be more back half than front half weighted. So that's a factor. And the other call out and I kind of touched on this again in my opening remarks was we do expect, and this is in the guidance, that we will have a onetime property gain in the fourth quarter. I think as we look forward, again, I would just reiterate that we certainly believe as we're continuing to being able to drive that top line growth that we can continue to gain leverage in the op margin line. And I think it's something we'll certainly talk about further in the Analyst Day at the end of the year.
Mike Cieplak: Our next question is from David Palmer with Evercore.
David Palmer: I would love to hear more detail about the IOM trends and insights from those countries. Where are you seeing relative strength and weakness and what do you ascribe those trends to? I mean, I asked partly because we're still dealing with post-COVID dynamics in some of those markets that are perhaps greater than the US with some back to travel, back to work in center cities. But I'd also be interested to hear about macro headwinds you're already seeing in the business. You mentioned the value menu launches in Germany and UK. So wondering if you were doing those as proactive launches or perhaps reactionary?
Chris Kempczinski: Well, as you saw in the results, overall, our IOM business put up very strong performance. So we're very pleased with that and it's a credit to the team and how they're executing against that. Also, as you probably know, our IOM, particularly our European markets are facing even more significant inflationary pressures, UK in particular than in the US. And the teams there have done a really nice job of putting in the pricing that they need to, to ensure that we're protecting margins -- franchisee margins, but at the same time that we are maintaining our affordability and value for money leadership in those markets. And our measures there continue to hold up quite well. I think the other thing that's going well for us is just the execution that we're seeing in our IOM markets. They continue to make progress on service times. Customer satisfaction scores are continuing to increase. So there's been really strong performance from an operations standpoint over in Europe. Where you do see -- and every country has obviously got a little bit of a different nuance. But certainly, the unrest that I mentioned in my opening comments in France has put some challenge from a macro standpoint on that business. We've also had a number of restaurants that have actually been impacted through some of the protests there that we've had to take offline, and they're going to need to go and get rebuilt. So there is pressure that we've seen from a macro standpoint in France. In the UK, UK is dealing with probably the worse -- we're close to the worst consumer sentiment in Europe, and that's putting some pressure on the business. But overall, our UK business is performing well. And I think each market has its own approach to value. But we're seeing, I think, that probably being a little bit more of an orientation in those markets just to make sure that as we build our second half plan that we've got a strong value message as part of that. So overall, very pleased with how our IOM and, in particular, our European markets are performing. And I wouldn't say there's anything one in particular that -- the reason for that is it's the whole playbook of value. It's a focus on core menu, they've had great chicken growth and then, of course, we're seeing all the benefits for digital. And one of the things that is maybe not fully appreciated, but with 52 million people in our top six markets now in our loyalty program, we do typically see about a 15% increase in frequency when we get members into loyalty. And we're still seeing high single digit growth rates in our loyalty programs in terms of sign ups. So that continues to be a tailwind for us in the business.
Mike Cieplak: Our next question is from John Ivankoe with JPMorgan.
John Ivankoe: Actually, my question is in the context of value. It's a perfect follow-up to that. So you discussed some of the success of the McSmart value menu, the Saver menu, and obviously, I'm hearing a lot about global solutions. As we kind of think about ways to drive traffic, drive sales, maybe to some extent, at the expense of margins. Does it make sense to consider the return of dollar style menu in the US, Canada, France, Australia, what have you? I mean, is a value menu, at least in some construct, part of what you see the big six or big seven offerings to consumers to be, is that something that is on the front burner?
Chris Kempczinski: So I think the starting point is to just emphasize, we're winning on value. So the programs that we have in place are working and delivering for us, And it shows up not just in our overall performance, the fact that we're driving both check and we're driving guest counts, but it shows in our consumer sentiment scores where we are maintaining our leadership in affordability and in value for money. So there's nothing broken from a value standpoint that from my vantage point you would need to change. I think we feel really good that the value programs that we have in place are actually driving the success. The probably only thing that teams would be looking at is as they think about marketing communication in the back half of the year, do they maybe emphasize a little bit more of driving awareness of the value programs that already exist in the market, that may be something that some markets consider doing. But we feel great about the value programs that we have in place in each of our markets today and I wouldn't expect to see any changes from the programs that we have.
Ian Borden: Maybe just a little -- a build to Chris. I think just one of the things that we feel really good about in the business is just how our teams are continuing to be proactive and agile in kind of, obviously, a volatile set of external circumstances. And I think that's -- the example in both the UK and Germany of what the teams have introduced there is a great example of learning from each other because there's a lot of consistency in those programs, but bringing them to life in ways that are relevant and doing that, while we're in a position of strength as we are in both markets, Germany, as an example, in the second quarter had an all time sales record for their business. So I think this is us staying close to our consumers, making sure we're leaning into the needs of our consumers as they work through the broader macroeconomic challenges and I think really continuing to make sure that such an important strategic element of our business continues to resonate in consumers in a way that's relevant in the context of each individual market.
Mike Cieplak: Our next question is from Brian Bittner with Oppenheimer.
Brian Bittner: I wanted to ask about store level margins. Clearly, your same store sales were very impressive in the second quarter, over 10% comps in the United States. But store level margins in the US were still down about 70 bps year-over-year in the quarter. So can you talk more specifically about what is causing the drag on margins despite such strong top line? And as the top line potentially slows moving forward, as you talked about, is there a scenario where store level margins can start to show improvements or is this a situation where you anticipate store level margins to feel more pressure for longer?
Ian Borden: Well, look, I would start with the headline. I mean, our belief is that the best way to drive sustainable margin improvement is for us to focus on driving strong momentum in the business. And I think the US business is the perfect example of that. While certainly as you work through these kind of rapid and accelerated periods of inflation, there's pressure from a percentage basis and we've clearly seen that in the US business. I mean, I think, that the example would be that the strength of our momentum in the US actually means that our owner operator cash flow is up year-over-year obviously in a continued challenging environment. And that's what we're focused on is how do we drive sustainable margin dollar cash flow growth for ourselves and for our franchisees. I think from a percentage basis, you're right. I mean, I think we continue to see pressure, obviously, from food and paper inflation, labor inflation. I think our -- where we talked about earlier in the year remains in place. We said this and I think we are consistent with that in the sense that we thought our McOpCo margin in the US business would be kind of roughly in line in terms of '23 with where we were at quarter four 2022. But we have a lot of confidence that as we continue to drive that strong top line momentum as we go forward that will continue to be able to drive both margin dollars and over time, margin percentage growth within the business.
Chris Kempczinski: And I would just add, as I mentioned in my opening comments, I've been to a number of markets. I've had a chance to talk to franchisees in a number of markets. And I've been very impressed and pleased with how they're thinking about working through the current scenario right now, which is they're playing the long game. And they recognize the importance of us continuing to make sure we have leadership in value and affordability as they also think about how do they rebuild margins back to kind of where we were during this pre-inflationary spike. And so in many cases, the conversations we're having with franchisees are about more of exiting the year and where do we want to see margins when we exit the year but recognize that there maybe some short-term impacts on this as we continue to balance our need for margin but also our need to maintain our leadership with customers. So hats off to the franchisees who I think are taking the exact right perspective on this and it's what shows up in our performance and the reason why we're taking share in almost all of our major markets.
Mike Cieplak: Our next question is from Dennis Geiger with UBS.
Dennis Geiger: I wanted to just ask a little bit more on how you're thinking about maintaining some of the underlying momentum and the share gains you've seen for quite some time now in the US. As you think about some of the key drivers in place across the three Ds, the operational execution, newer sort of ready on arrival stuff, et cetera. Can you just sort of unpack how you think about the most impactful traffic and sales opportunities in the next year, maybe even over the coming years?
Chris Kempczinski: It all goes back to the strategy of Accelerating the Arches. And when we laid out Accelerating the Arches, we talked about our MCD framework, it's about great marketing, it's about focusing on core menu, it's about three Ds, now the four Ds. And so one of the things that I -- and that underlying all of that is about great execution. And I think one of the things that, for me, gives me confidence about the strength and resiliency of our business, not just in the US but around the world, is that it's broad based. It's not being driven by one-off promotion. It's not being driven by kind of just silver bullets. You're seeing it because of consistent execution across the entire strategy. So you're seeing evidence of where we continue, I think, to up our game from a marketing standpoint, that's driving strength around our brand scores. Our brand has never been in a better place than it's been. Our focus on core menu and things like best burger, the focus that we have on chicken, we're gaining share in both chicken and beef which -- off of core menu, which has a lot of benefits. And then we continue to do a great job of executing against our three Ds and will against our four Ds. Digital for us is something that is actually, I think, a virtuous loop, where you're seeing the stronger our digital business becomes, the more that it's driving customer engagement in digital. Our app downloads, and when you compare us to anybody else in the industry, it's orders of magnitude difference and that creates some economies of scale that become self perpetuating over time. So as I look out for the business, for us, it's going to be about continuing to do all the things that we're doing on that. And underneath that is the execution that we're seeing in our restaurants. And with the PACE program that we put in place last year, it was in most of our major markets. This year, we added the US. But you're seeing service times come down across the board in our major markets. You're seeing CSAT or customer satisfaction scores go up in all of our restaurants. So I wouldn't attribute our success to any one thing. It's the fact that we're executing across the entire Accelerating the Arches playbook that gives me confidence. And this is a momentum business. When you've got momentum, it helps and it can be self perpetuating. Now you don't want to get complacent on that. But the fact that we have momentum, I think, is driving an ambition. It continues to drive our operators' willingness to invest because they do see that as we play this out, we've got a long runway, and we certainly believe we have a long runway here at McDonald's.
Mike Cieplak: Our next question is from Chris Carril at RBC.
Chris Carril: So Chris, I know you touched on this in your prepared remarks and you plan to share more at the Investor Day, but could you maybe expand a bit more on the development outlook as we think about the second half of this year as well as beyond 2023? You've seen strong top line momentum, improving margins and you've made organizational changes to help support development. So what are the key unlocks here or next steps going forward to accelerate new restaurant openings?
Chris Kempczinski: Well, we will share much more detail about this at the Analyst Day at the end of the year. So I won't get into the specifics. But I will talk about the activities that we're doing right now, which is one of the starting point is just looking at our opportunity with traditional restaurants. And if you think about -- over the last several years, our focus has been largely globally around reinvestment. In the US, we haven't grown units going all the way back to 2014. If you go to a number of our large IOM markets, the growth there from a unit standpoint has been pretty anemic compared to what we think is the opportunity. And so we are doing a very detailed, both top down and bottoms up look, to say what is the development opportunity that exists in each of those markets and how do we go and exploit that. I’d use the US as one example. I think the other thing that we look at is, think about the US restaurant estate today. And the US restaurant estate today reflects probably what the demographic profile or the population profile looked like 20 or 30 years ago. And imagine the amount of shifts that happened, people moving to the South to the Southeast, that isn't reflected in our footprint. Our footprint reflects what the population looked like probably 20 or 30 years ago. So you end up finding there's a number of places around the US where we are significantly underdeveloped relative to where the population exists today, that opens up for us a whole bunch of development opportunities for us to go after. The other thing that we're overlaying on top of this is we are, as I mentioned in my opening comments, thinking about small format and how do we bring new concepts that open up real estate opportunities that under a traditional model would not necessarily be available to us. A big reason that we can now look at those is because of the growth that's happened with the digital and delivery where you don't necessarily need the big dining rooms that you needed in our traditional restaurants. So you're now able to look at real estate sites that previously would have been sort of off limits to us those become opportunities. So we're taking all of those things together and rolling that up to get a perspective of what we think the new unit potential is going to be over the next four or five years. As you would imagine, it's a longer lead item. So this isn't going to be something that shows up in 2024 and even in 2025. But you can start to focus on it, get some real benefits in '26 and beyond, and that's what we'll share at Analyst Day.
Mike Cieplak: Our next question is from Andrew Charles with Cowen.
Andrew Charles: I wanted to ask about the reiterated $100 million to $150 million of targeted and temporary rent relief in Europe. And recognizing the numerous macro challenges in the market, the other brand is certainly successfully navigating these with impressive top line strength in front half of 2023. So when you combine this with better than expected IOM and McOpCo margins in 2Q, just in that cost pressure perhaps may not have been a severe surge than anticipated. What do you need to see to reduce the outlook for relief? And just a quick follow up to that, can you help level set how much of that $100 million to $150 million has been since then so far in 2023?
Ian Borden: So let me just kind of touch on a few things. Look, I think as we've talked about before, providing support to our franchisees is kind of normal course of business for us. Obviously, the difference this year is just the kind of the pace, the scale and the breadth of the pressures, and as you highlighted, obviously probably most centered in Europe. So I think on the backdrop of all of that, we decided towards the back end of last year to kind of provide some more extensive support, as we talk about always, it's always targeted and temporary. It's always fact based support, that support goes to franchisees that need support. And I think as you've heard me talk a little bit on some of the other questions this morning, that inflation is kind of coming to play the way we predicted it. So I don't think there's been a difference versus our expectations, which is why we've reiterated that we continue to expect that we will spend between the $100 million to $150 million for the year this year. I think the other thing I just want to go back to because it's so important and it's certainly something I strongly believe in. I've given you the example before of as we work through COVID and we provided support at particular moments as we work through that with our franchisees, I think that was fundamental to the exit velocity and momentum that our business had. I think what you can see now if you look at our IOM segment, and Chris talked about this earlier, is the strength of our underlying momentum, the consistency of our momentum. And I believe that's fundamentally connected to decisions like this because they keep our system fully aligned, they keep our system front footed and focused on the opportunities that we have to continue to drive growth in our business. I believe that's a significant strategic advantage that we have. And I think it's been a key contributor to why we continue to outperform even in markets that maybe more difficult from a macroeconomic context.
Chris Kempczinski: And I would just add, again, back to my market visits that I've done in the last couple of months. In some of those conversations that I've had with franchisees, I typically do dinners every time I visit the market with a group of franchisees. And many of them in our IOM markets specifically have thanked us for the support that we're giving and attributed their willingness and ability to focus on the long term to not necessarily just be chasing pricing in the short term because they understand we're in this together, we're both making investments to ensure that the success of our business is long term focused. So I think Ian hit it exactly right. When we make the decisions and do the right things for the long term, the benefits time and again we're proven right on that. And I feel very good about the program that we've got in place. And it is temporary and targeted as it appropriately should be.
Mike Cieplak: Next question is from Sara Senatore with BofA.
Sara Senatore: I guess a couple of questions around the margins, please. First, on the G&A. Could you just talk a bit about what the back half spending might be on? You sort of come in pretty decently below the full year guide. So I'm just trying to understand what the step-up might be and how to think about that G&A as a percentage of system sales maybe even going forward. And then could you just give us some color on pricing and commodity basket inflation for the US and the IOM markets. I'm sorry if I missed it. But just how much price is on the menu and what the baskets look like?
Ian Borden: Well, let me start with G&A. just I mean, I think a bit of a headline there. I mean I think our normal, let's call it, cycle of spend in the business is probably always a little bit more back half than front half weighted. I think this year, that's a little bit more pronounced. I think there are kind of a couple of probably more substantive factors for that. I think the first one is around our continued investment in technology and digital. I mean, I think you've heard us talk, and me in particular previously, that we will -- we have the capacity and the capability. And we will continue to invest in areas in the business where we believe there's a significant opportunity to drive growth and generate a return. And I think our digital and technology investments have been a clear strong example and continue to be one of our key growth drivers. And I think as Chris touched on previously, we continue to believe we've got significant opportunity as we go forward to unlock further capabilities around our digital and technology platforms. And so we're continuing to accelerate investment in those areas. I think the second one is back to our global business services organization. As you know, as part of our ATO changes earlier this year, we stood up a global business service organization at an enterprise level because we felt there was a relatively significant opportunity to look at how we can digitize, I'll call it, the operational part of our business and drive sustainable efficiencies as we go forward. So we're doing a fair bit of work and investing right now and looking at that opportunity to understand how big is it, what's it going to take to get after it, how should we think about sequencing and prioritizing the investments. Obviously, once you go into those sorts of journeys, there are multiyear journeys and commitments to kind of deliver that sustainable end benefit. But if we think of the kind of the broader environment today, the ability to kind of drive sustainable efficiency, the ability to get data and analytics in a sustainable way, I think, is becoming more important. And we think there's a significant opportunity there that we're looking at. So I think our guidance remains intact as we stated at the beginning of the year, which is we expect our G&A to be in that 2.2% to 2.3% of sales range. I would say I think I certainly expect that we'll be closer to the higher end versus the lower end of that range, but that's a bit of texture on G&A. I think on pricing, I mean, obviously, pricing varies significantly based on the context in the individual markets. So maybe what I can do is just give you a little -- I mean, obviously, pricing remains elevated as inflation more broadly remains elevated in the majority of our markets, maybe a little texture on the US, which is, I think if you look at the second quarter, we were kind of on average at a low double digit level of pricing in the business. I think as we work through the rest of the year, we'll probably end the year in that kind of low double digit range. A lot of the pricing in the second quarter is kind of carryover from 2022 in the US business as we work through that kind of peak inflationary period. And obviously, as I talked about earlier, we're kind of getting those two offsets to the pricing we're taking, which is kind of the trade down and consumers that are kind of continuing to visit but buying a little bit less, again, those two offsets have been very consistent. And as Chris and I have both talked to, we continue to see traffic growth in our US business. We continue to see market share gains, and we continue to see this kind of strong leading value for money and affordability positioning. So I think what I've talked about before, which I think is really important is the work we've done in the couple of years before we've kind of got into this more challenging macroeconomic environment around our capabilities that we've put in place with our third party advisers that we work with and who make recommendations to our business, including our franchisees on how we price, obviously, our franchisees make those decisions. I think we've had a significant improvement in our capability. I think as Chris has talked about, we've had pretty good discipline from our system and the pricing that we've taken to really kind of get the balance of working through the short term challenge with a long term focus on continuing to make sure we're driving momentum. And we feel pretty good about how we've been able to navigate, obviously, a complex environment.
Mike Cieplak: We're at the bottom of the hour. That completes our call. Thank you, Chris. Thanks, Ian. Thanks, everyone, for joining. Have a great day.
Operator: This concludes McDonald's Corporation Investor Call. You may now disconnect, and have a great day.